Operator: This call is the property of Wal-Mart Stores Incorporated and intended solely for the use of Wal-Mart shareholders. It should not be reproduced in any way. This call will contain statements that Wal-Mart believes are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and intended to enjoy the protection of the Safe Harbor for forward-looking statements provided by that Act. These forward-looking statements generally are identified by the use of the words or phrases: anticipate, believe, continue to forecast, estimate, expect, forecast, plan, see, will be, will be completed, will continue to be and will pick up, or a variation of one of those words or phrases in those statements or by the use of words or phrases of similar import. Similarly, descriptions of our objectives, plans, goals, targets or expectations are forward-looking statements. These statements discuss, among other things, our anticipated U.S. comparable store sales for the current fiscal quarter, and our anticipated EPS from continuing operations for the current fiscal quarter, and for the fiscal year 2007, expected times of completion of certain remodeling activities for stores in the Wal-Mart store segment of our business, and the effect of those activities on that segments results, anticipated pressure on savings expected to be achieved in wages and from our inventory management program, arising from future increases in maintenance expenses, utility costs and transportation and fuel costs, and expected increase in our interest expense, our anticipated tax rate for the third quarter of fiscal year 2007 and for all of fiscal year 2007, expected gain from the sale of our South Korean operations, estimate of the loss expected to be incurred from the sale of our German operations, and the anticipation and expectations of Wal-Mart and its management as to the future occurrences and trends. These forward-looking statements are subject to risks, uncertainties, and other factors domestically and internationally, including: the cost of goods, competitive pressures, inflation, consumer spending patterns, debt levels, currency exchange fluctuations, trade restrictions, changes in tariff and freight rates, fluctuations in the cost of gasoline, diesel fuel and other energy, transportation, utilities, labor and healthcare, accident costs, casualty and other insurance costs, interest rate fluctuations, capital market conditions, geopolitical conditions, weather conditions, storm-related damage to our facilities, regulatory matters and other risks. We discuss certain of these matters more fully in our filings with the SEC, including our most recent annual report on Form 10-K filed with the SEC. The information on this call should be read in conjunction with that annual report on Form 10-K, and together with all our other filings, including current reports on Form 8-K we have made with the SEC through the date of this call. We urge you to consider all of these risks, uncertainties and other factors carefully in evaluating the forward-looking statements we make in this call. As a result of these factors, changes in facts, assumptions not being realized or other circumstances, our actual results may differ materially from historical results or from anticipated results expressed or implied in these forward-looking statements. The forward-looking statements made in this call are made on and as of the date of this call and we undertake no obligation to update these forward-looking statements to reflect subsequent events or circumstances. The comp store sales for our total U.S. operations and for our Sam’s Club segment discussed on this call exclude the impact of fuel sales at our Sam’s Club segment. Reconciliations of those non-GAAP financial measures are available for review on the investor relations portion of our corporate website at www.walmartstores.com.
Lee Scott: Good morning and thank you for joining us for our second quarter results. Sales for the second quarter totaled $84.5 billion, up more than 11% from the prior year. Our income from continuing operations increased 4.6%. EPS from continuing operations were $0.72 for the quarter. During the quarter, we announced the sale of our operations both in South Korea and in Germany. These changes allow us to continue to focus our efforts where we can have the greatest impact on Wal-Mart’s growth and our ROI strategy. Tom Schoewe and Charles Holley will cover the details of these divestitures later in this call. Many of you are familiar with our internal goal of growing inventory at one-half the rate of our sales increase. I am pleased that for the second quarter in a row, we have met this goal and inventory has actually grown at less than half the rate of our sales increase. This is positive for ROI. We are, however, quite honestly disappointed in the sales performance of Wal-Mart U.S. Some of the same issues affecting our customers, such as higher utility costs and gas prices, are impacting corporations like Wal-Mart as well. Tom will take more time to talk about these expenses shortly. Let’s look at what’s on the mind of the Wal-Mart customer. In the United States, customers tell us that they are most concerned about gas prices. This has been consistent every month of this quarter. While we know they are consolidating their shopping trips, we are happy to see the growth in our average ticket. Price is important to shoppers, and they know they can save money at Wal-Mart. We find it encouraging that we continue to grow market share in food and consumables during this difficult time. Our goal is to make sure Wal-Mart is out in front and serving our customers. Customers are noticing the transformation that is occurring at our stores and our clubs. Let me remind you of what that transformation is all about. First, it is improving the customers experience through our store and the community focus. Second, it is investing more in our associates, making Wal-Mart a better place to work. Third, it is improving our operations and our ROI. Fourth, it is growing our international division. Finally, it is playing a more active role and a more important role in the communities that we serve. As we add more improvements to our stores, we are confident that we will see good returns on the capital that we are investing. Recently, I was walking through the Secaucus, New Jersey store with TV host, Charlie Rose. I told Charlie that as long as we give our customers, whether it is Hispanics, Asians or baby boomers what they want, we have the ability to increase our sales. Updating our stores, though, is just part of the transformation to better prepare us for the opportunities in the future. The more people know about us, the more they know about Wal-Mart, the more they will shop at our stores and our clubs, whether that is Secaucus, New Jersey, or in Shanghai, China. At the end of August, Leslie Dach joins my executive team as the EVP of Corporate Affairs and Government Relations. He is on board to continue to help us in our efforts in transformation. Specifically in the communications, with our customers and with our critics. We are working on deepening our relationship with NGOs, especially in the area of sustainability. Wal-Mart is showing how environmental improvements can change our culture, and also help reduce expenses. We are focused on communicating Wal-Mart’s efforts to bring jobs to areas that really need jobs, and making Wal-Mart part of the solution on major U.S. issues such as health care. Speaking of transformation, though, there is a lot going on in our Sam’s Club division. About this time last year I was very pleased to introduce Doug McMillon as the new President and CEO of Sam’s Club. He’s made a lot of positive changes in this past year, and you can expect more as Sam’s focuses on the Business and the Advantage Member. Doug, I imagine you have a few things to say about the quarter.
Doug McMillon: Thank you, Lee. It is great to have some time to talk about Sam’s Club. It’s been an exciting year for us so far. We continue to build on the foundation of being in business for small business, while also engaging our Advantage Members, who are also very important to us. Our members are responding well to the changes we have made recently to create clutter-free check-outs and to relocate many of our merchandising categories within the Club. We’ve relocated jewelry near electronics and installed new jewelry fixtures into the majority of our locations. Our jewelry sales have been strong. Movies, music and video games moved to the center section of the Club while office supplies moved up front. Office is a category that appeals to all types of small business, and also to many Advantage Members who have home offices. Our new office supply catalog and our expanded offering of more than 8,000 office supply items online at SamsClub.com, all at great prices, are creating some important growth for us. We measure sales performance by specific business type, and we are experiencing good comp sales growth this year with convenience in retail stores as well as restaurants, caterers, and other food service operators. Our price leadership position at Sam’s Club remains strong, and we are committee to maintaining it. Value matters to everyone today. Our price comparison studies, which we monitor closely in every market, every week, are designed to ensure that we have the lowest price in the industry on a basket of goods. Our traffic counts and ticket increases with business members tell us that they recognize the Sam’s Club value. Clearly, rising gas prices have been a challenge for retailers in general, causing some shoppers to consolidate their trips and make fewer visits to fewer stores. Sam’s Club is not immune to the challenge, although we see improved traffic and ticket with Business Members. Our Advantage Members seem to be visiting less frequently, but spending more each time they shop. We are focused on providing Advantage Members with great values on their key personal needs, and on affordable luxuries, giving them more reasons to make Sam’s Club one of their shopping points. We want it to be fun to shop at Sam’s Club. I should probably point out that we operate fuel stations at about two-thirds of our Clubs and we believe our low pump prices are one of the reasons that customers choose Sam’s Club over other options. I have to mention how proud I am that Sam’s Club has consistently grown profits faster than sales, including in the quarter just ended. They are continually finding ways to save expenses and be more productive in managing assets, particularly inventory. We have a lot of new items arriving in the Clubs right now, and members are responding well to new seasonal items and new electronics, in particular. We remain very focused on our in-stock position. Our members are time-pressured and we simply cannot afford out of stock in today’s environment. In closing, our ROI continues to improve. It is at the highest level in four years. We raised our membership fees by $5 at the beginning of the year, but we still have the lowest membership fees in the industry and, as you would expect, membership revenue is currently growing at a faster pace than sales. We look forward to the rest of this year and the opportunity to show all of our members even greater value on their membership investment.
 Tom Schoewe : Thanks, Doug. It is obvious there really is an awful lot going on at Sam’s Club today. Good morning to all of you, and thank you so much for joining us here today. Let’s look at our numbers at the very highest level for the second quarter. First, total sales were up 11.3%. Net income from continuing operations increased 4.6%. EPS from continuing operations were $0.72. In addition, U.S. comp store sales were up 1.7% in the quarter. Looking at the details, let’s first discuss gross margin. Consolidated gross margin was up 9 basis points for the second quarter. Two of the operating segments increased their gross margin in the quarter when compared to last year. We continue to see an increase in our consolidated margin, despite various pressures which include transportation costs. Now, let’s talk about expenses. The consolidated operating expense percentage for the quarter was up 34 basis points over the same period last year. Labor as a percentage of sales was essentially flat to last year’s quarter; pretty good performance. We continue to feel upward pressure in utilities, as well as repair and maintenance costs that relate to our remodel and special project program. I will discuss the remodel program in greater detail in just a couple of moments. Inventory – consolidated inventories were up 4.8% against a sales increase of 11.9%. That, Charles, is on a year-to-date basis. Our acquisitions contributed almost half of the consolidated inventory increase. As Lee mentioned earlier, this is the second quarter in a row that we have met our internal goal of growing inventory at or less than half the rate of sales. Obviously the progress we are making in inventory management benefits ROI. Carol will share with you later our results in other income, but before we cover our performance by segment, let’s talk about one more consolidated income statement item, and that is interest expense. Net interest expense was up over 28% for the quarter, or six basis points as a percentage of sales. As expected, interest expense continues to be up because of the debt that we incurred from last year’s fourth quarter acquisitions, and higher interest rates. Our progress with inventory management has helped to offset some of the increase, but interest expense will continue to be a headwind. Now, let’s look at our performance by business segment. At the Wal-Mart division, here in the United States, our 6.9% sales increase was disappointing. I think Lee covered that. As Lee mentioned, like our customers, we are challenged by higher gas prices and the impact that they have on our business. Lee highlighted what we are doing in transformation, and that we are very encouraged by our progress on these initiatives to enhance the customer experience when they are in our stores. Most important, we are seeing that market segmentation, better store design and improved merchandising are all paying off. Initial margins, driven by general merchandise, are expanding. Operating profit increased by 4.2% as we saw an increase in expenses as a percentage of sales, and a slight reduction in overall gross margin. I will talk more about both of these in just a second. Comp store sales in the Wal-Mart segment were up 1.5% for the quarter. The increase in comp sales was driven by an increase in average ticket in the quarter, while customer traffic declined slightly. We saw our weekday business soften during the quarter, and believe that our customers are consolidating their visits, preferring to limit their “fill-in” shopping. Supercenter food sales grew by over 12% for the second quarter, and Supercenter food comp sales were above the overall segment comp store sales growth rate. Gross margin for the segment decreased by 12 basis points in the quarter. Now, let’s peel back the numbers just a little bit. Our initial margin on general merchandise showed a solid improvement over last year’s second quarter, and our inventory reduction programs produced an improvement in markdowns as well. We did experience a negative impact from transportation expenses due to rising fuel costs. In addition, margin was impacted by the growth in our food business relative to our general merchandise business. Kind of a mix issue. Our gross margin also was negatively impacted by accruals for inventory valuation in the quarter. Despite our soft sales performance, overall wages were flat as a percentage of sales when compared to the same quarter last year. That is the good news. Unfortunately, total expenses as a percentage of sales were up 12 basis points when compared to last year. As we anticipated in our first quarter earnings call, we experienced higher maintenance costs related to our store remodel program, as well as higher utility costs. Increased media spend in back-to-school advertising also impacted expenses. We continue to make good progress on inventory management. At July 31, inventory in the Wal-Mart segment was up less than 1%, while sales increased 6.9% for the second quarter. Inventory in comp stores was actually down when compared to last year. Let me digress for just a moment and clarify what is going on in our U.S. remodeling program. Every year, Wal-Mart U.S. remodels some portion of the stores. During the last three years, we have averaged approximately 300 of what we would call a full, traditional remodel. This means that generally an older store, whether a discount store or a Supercenter, is updated and the physical plant of the store is changed. Full remodels can take up to 10 to 13 weeks, and just recently, we have completed approximately 200 of the full remodels; the majority of which were done in the second quarter. With a full remodel, there is a greater level of intrusion on both customers and associates as the activity ramps up. Traditionally, there is some negative impact on sales during construction. However, there is also an increase in comps after the remodel takes place. This fiscal year, we are doing full remodels at more than 300 of our stores across the United States. The full remodel includes the conversion of home, apparel and electronics. In addition to continuing this full remodel program, earlier this year we announced that we would touch approximately another 1,800 stores during the next 18 months. So, what constitutes the changes in these 1,800 stores? It simply means that we are bringing the latest look and fixtures to our apparel, electronics and home departments. In other words, think of the 1,800 as special projects. Every store is not getting every update. In the majority of the U.S. stores, we have finished the apparel and the electronics updates in two to four weeks. Home conversions take a little bit longer. Of these 1,800 special projects, we plan to have approximately two-thirds finished by the end of the third quarter. Our timetable calls for no remodeling work or special projects to be done during the holiday season. Remodelling work will pick up again in January, as the rest will be completed in the next fiscal year. While it is still too early to share results, we are pleased with the initial indications of these programs. We are focused on managing possible customer disruption as these special projects ramp up. Hopefully this has clarified where we stand on our remodel program, and what we will now refer to as special projects. For the remainder of the year, we do see some pressure on the savings we expect to achieve in wages, and from the inventory management program. The most significant of these items are first, higher maintenance expenses as we continue with our store remodel program; second, higher utility costs; and finally, higher transportation and fuel costs. These pressures are included in the Company’s guidance which I will discuss further with you at the end of this call. Before I wrap up Wal-Mart U.S., I would like to remind you that we continue to see growth in our average ticket. We are also increasing sales per square foot annually, both of which contribute to our comp store sales increases. Now let’s move on and talk more about Sam’s Club results. Sam’s Club continued its trend of growing operating income faster than sales in the quarter. For the quarter just ended, operating income increased 8.4% on a sales increase of 5.0%. Comp sales were up 2.6% for the quarter, excluding the impact of fuel. If gas were included, comps would have been up an additional 100 basis points. Operating income growth was driven by: one, higher membership revenues; second, continued improvements in inventory productivity which resulted in improved gross margins. These increases more than offset the increase in operating expenses. Overall inventory levels at Sam’s are actually down in dollars on a year-over-year basis, while in-stock position remains good. As Doug McMillon mentioned earlier, Sam’s Club is focused on making sure they provide value and great service for all of their members, both Business and Advantage. Now, let’s talk about a few more items before I hand it over to Charles to talk about international. Our tax rate for the quarter was 34.7%. Recall that last quarter we expected the tax rate to be at the high end of the 34-35% range, without the renewal of the Work Opportunity Tax Credit legislation. We continue to forecast the annual tax rate to be between 34% and 35%. As a reminder, factors which may impact our annual rate and result in quarterly volatility would include things like first, changes in our assessment of certain tax matters; second, the renewal of the Work Opportunity Tax Credit legislation; and finally, the mix of our international to domestic income. Without the renewal of the Work Opportunity Tax Credit legislation, we believe the tax rate for the third quarter will be at the high end of that 34% to 35% range that I just mentioned. Payables as a percentage of inventories for the Corporation were 81%, and that is up from 73% last year. This improvement continues as a result of our inventory progress and is complemented by the international acquisitions. Debt to total capitalization at the end of the quarter, including commercial paper, was 41.8%. That compares to 43% at the same time last year. Before I turn it over to Charles, as you are all aware, we announced the sale of our operations in South Korea and Germany during the second quarter. Both transactions are subject to local anti-trust review, and will close after regulatory approvals. In our income statement, we have reflected the results of operations of South Korea and Germany as discontinued, both in the current and prior periods. Additionally, the assets and liabilities of the entities operations are reflected as assets and liabilities of discontinued operations in our balance sheet, or assets held for sale. The sale of our business in South Korea is expected to generate a gain. The gain will be recorded in the period when we close the sale. The sale of our business in Germany, on the other hand, will generate a loss. You will remember that in the press release announcing the sale of Germany, we estimated the loss to be approximately $1 billion. In this quarter, we actually recorded an $863 million charge related to the sale of Germany. In the event there are additional charges associated with this divestiture, they will be reported in future quarters through discontinued operations. The second quarter net loss from operations of these two businesses was $38 million. Since South Korea and Germany are now considered discontinued operations, results of the international segment’s operations will exclude these two countries from the current and prior periods. This will allow for better apples-to-apples comparisons. With that, I would like to turn it over to Charles who will share our international results.
 Charles Holley: Thanks, Tom. As Tom just noted, our operations in South Korea and Germany are now considered discontinued operations. This means that the results of operations for these countries will be excluded from the following discussion and figures for international. International sales from continuing operations for the second quarter were $18.7 billion, up 31.9% versus last year. This sales increase includes the impact of our acquisition in Southern Brazil, and the consolidation of Seiyu in Wal-Mart Central America. Sales from these entities contributed 19.2 percentage points of the increase in international sales. Our strongest sales performances in the quarter came from Mexico, Brazil, China and Argentina. The second quarter impact of currency valuation on sales was a positive $214 million, driven primarily by a strengthening in the Canadian dollar and the Brazilian real, and partially offset by a weakening of the British pound. Operating income for the second quarter was ahead of plan at $997 million, up 24.8% from last year. Operating income growth lagged sales growth due to the dilutive impact of recent acquisitions, which only added 8 percentage points to the growth in international operating income. Gross margin was up slightly versus the second quarter of last year. The benefit of those acquisitions more than offset the decline in the U.K.’s gross margin, resulting from continued competitive pressures in the market. However, better than expected expense leverage in Mexico helped to offset the dilutive expense impact of the acquisitions and lower margins in the U.K. There was not a significant impact for currency on second quarter operating income. Now, let’s discuss highlights by country. Wal-Mart Mexico had a great quarter, continuing positive trends from recent quarters. Operating income and net income both grew faster than sales when compared to the second quarter of last year. Total sales for the quarter were up 17.3% in real terms, which is adjusted for inflation. The real comp store sales increase during the quarter was 6.9%. We continue to see very consistent growth among all formats in Mexico. The main driver for the sales increase continues to be customer count, with a 15.3% total increase during the quarter. Average ticket was up as well, with a 2% increase. During the quarter, Mexico benefited from merchandising for the World Cup. Initiatives included consumer credit promotions in electronics, special food offerings, and plasma screens installed in our restaurants. Operating expenses in Mexico grew 12.2% in real terms, reflecting the leverage of the sales increase. This leverage was driven mainly be associate productivity and lower credit card commissions. Our expansion program in Mexico added 21 units during the quarter. Our returns continue to improve as we add stores. In Canada, total sales in Canadian dollars increased in the upper single digits for the second quarter, while comp sales grew in the low single digits. Operating income grew slightly slower than sales for the second quarter. Canadian sales were strongest in ladies’ wear, food, housewares and appliances, pets and infants. Canada continued its positive inventory performance with store inventories down slightly more than 2%, and comp store inventories down almost 8%. In the United Kingdom, total sales were above plan, up in the mid single-digits for the second quarter. Comp store sales were in the low single-digits. The improved sales performance has been driven by increased customer count, and also reflects improvements in shopper perception, particularly in pricing and in-stock. Declining margins from the competitive environment in the U.K. led to operating income that was moderately below plan for the second quarter. ASDA performed well during the World Cup period, will relevant and innovative offers in food, general merchandise and clothing. Other recent activity included the launch of over 500 new or improved chilled food lines, a new range of freshly prepared meals to cook at home called Go Cook, and the roll-out of remodeled pet and baby departments. We are encouraged because our sales performance and merchandising efforts in the U.K. have led to an increase in the market share when compared to the same period last year. ASDA has now opened seven new stores so far this year, including two trial ASDA Essential stores, one ASDA Living store and four Superstores. Brazil comps were in the low single-digits for the quarter. Our acquisition in Southern Brazil continues to turn in positive results, with sales increases in the low double-digits versus the same period last year. Both sales and operating income were ahead of plan in the south. The integration of Bompreco in the Northeast continues to be on plan, and we continue to be pleased with our program there. Argentina continues to deliver a strong performance, with comps in real terms up in the mid double-digits for the second quarter. Puerto Rico sales were up in the low single-digits for the second quarter. Comp sales were below last year, impacted by a trend of lower consumption. As we saw in the first quarter, Puerto Rico is experiencing an economic downturn as a result of the recent rise in fuel and energy prices. This, coupled with government expense reduction programs and a sales tax implementation in the near future continued to present a challenge for the balance of the year. Puerto Rico second quarter operating income was short of plan, and lower than the prior year period. The second quarter was the first full quarter of consolidation for Wal-Mart Central America. This recent acquisition delivered positive results in the second quarter with sales growth in the low double-digits over the same period last year. Sales margin and operating income were all ahead of plan. Turning now to Asia, China’s comps grew in the low double-digits for the second quarter, while sales were slightly below plan for the quarter, earnings were ahead of plan. In Japan, we continued to see progress. Comp sales in the second quarter were positive. If you remember, the first quarter of fiscal 2007 was the first quarter in ten years that Seiyu reported a positive comp sales increase. Margins were up over last year, and expenses were below plan, leading to operating income that was above plan. Now, I would like to turn it over to Carol Schumacher, our VP of Investor Relations.
Carol Schumacher – VP, Investor Relations: Thanks, Charles. Net other income was up more than 18% for the second quarter. We continue to see increases in several areas. First, membership fee income improved in the quarter as expected, and Tom referenced this earlier in the call. Second, we are pleased with the continuing progress we are making in our financial services revenues. Now, let’s talk about our growth in stores for the quarter. These numbers are based on our fiscal quarter ended July 31, 2006. I will start with the locations in the United States. In discount stores, we opened four new stores and ended the quarter with square footage of 118.4 million square feet. Our discount store total is now 1,146 locations. We opened 35 new Supercenters and we relocated or expanded from discount stores, 41. We also relocated one Supercenter. Our ending square footage is 392.4 million square feet. Our Supercenter total count is 2,098 locations. In the second quarter we opened three Neighborhood Markets and ended with square footage of 4.5 million square feet. We now have 107 Neighborhood Market locations. In Sam’s Club, we have one new location and we relocated or expanded six. We ended with square footage of 73.7 million square feet. Sam’s Club total count is now 567 locations. Our total U.S. store count is 3,918 locations with square footage totaling approximately 589 million square feet. In international, we added 42 new stores and relocated or expanded three. We ended the quarter with 195.3 million square feet. The international total count is now 2,710 locations. The international store count and square footage total includes Wal-Mart Central America. Stores in South Korea and Germany will continue to be included until the divestitures are final. These numbers do not include the Mexico VIP franchised restaurants. Before I turn it back over to Tom, I would like to discuss a change we will make to our January 2007 sales reporting. As previously mentioned, to correspond with the National Retail Federation’s 53-week calendar for the year, the January sales reporting period will be the five-week period dated December 30, 2006 through February 2, 2007. We will release January 2007 sales on February 8, 2007. The updated calendar is posted on our website at www.walmartstores.com/investors. This change to our sales reporting period will not have an impact on our quarterly earnings results. Our quarterly earnings results are based on the calendar month in the quarter, which is why there is no impact to earnings with this change. Now let’s go back to Tom, who has some additional closing comments.
 Tom Schoewe: Thanks much. Now let’s discuss our outlook for the third quarter and for full fiscal 2007. For the third quarter, we expect U.S. comp store sales to increase between 2% and 4%. This guidance reflects the trends we are seeing in our business today. We expect EPS from continuing operations for the third quarter to be between $0.59 and $0.63 per share. For the year, our forecast for EPS once again from continuing operations, continues to be $2.88 to $2.95 per share. As always, we will be available to answer your questions today after the call. We would like to thank you for your interest in Wal-Mart and just have a great day. Thanks again.